Operator: Good day, and welcome to the Welcome to News Corp First Quarter Fiscal 2017 Earnings Call. Today's call is being recorded. [Operator Instructions] 
 At this time for opening remarks and introductions, I would like to turn the call over to Mr. Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead, sir. 
Michael Florin: Thank you very much, Matt. Hello, everyone, and Welcome to News Corp's Fiscal First Quarter 2017 Earnings Call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com.
 On the call today are Robert Thomson, Chief Executive; and Bedi Singh, Chief Financial Officer. We'll open with some prepared remarks, and then we'll be happy to take questions from the investment community.
 This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information.
 Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release.
 With that, I'll pass it over to Robert Thomson for some opening comments. 
Robert Thomson: Thank you, Mike. The most recent quarter has highlighted the continuing digital development at News Corp at a time of great transition for media companies, many of which are struggling to cope with e-evolution. Our growing portfolio of Digital Products and our global character have enabled us, not only to weather those profound changes, but to build a firm foundation for profitable future. There is no doubt that 2 of our core markets, the U.S. and U.K., have been characterized by a certain amount of uncertainty in the economic and political environment, but we have remained focused on developing long term and robust sources of revenue while curtailing costs without undermining the quality of our uniquely valuable content. Collaboration among our businesses has increased, with the sharing of lessons, software and data to provide more valuable insights for our clients, readers and advertisers. 
 During the first quarter of financial year 2017, despite a distinctly soft print advertising market and patent weakness in the British pound, our revenues were down only slightly. It is thus clear that our emphasis on digital real estate has given the company more resilience in even difficult trading periods. 
 We are still at the early stages of that real estate development, particularly in the U.S., where we are renovating realtor.com while still living in the house. We expect the rates of growth at realtor.com will increase later in the year as new products and pricing take hold in a U.S. property market that is itself still recovering from the extreme dislocation of the financial crisis. 
 In the most recent quarter, total segment EBITDA declined 21% versus the prior year, but half of that decrease was due to planned investments and onetime transaction costs, and we do not expect the quarterly performance to be reflective of the full year results. In fact, we expect to see EBITDA improvements in the remainder of the year, largely driven by growth in digital real estate and at HarperCollins. 
 As our real estate business continues to evolve and expand, we are now highlighting listing-based revenues separately in the Digital Real Estate Services segment to better reflect our performance and provide a clearer indication of the trajectory in that increasingly important sector. 
 Significantly, this highlights our reduced reliance on traditional advertising, which today accounts for only 1/3 of our total revenues.
 In addition to the strength of digital real estate, we are also pleased with the trends in Book Publishing and at News America Marketing, which showed continuing growth in its in-store product revenue and is ahead of schedule in achieving its year-end goal of 10 million downloads of the Checkout 51 app, which provides incentives to shoppers and unique marketing opportunities for consumer goods producers and retailers. 
 As mentioned, one of the more profound changes at News Corp since its reincarnation in 2013 is the burgeoning of the digital real estate business, building on our early success with REA in Australia and complementing that with investments in the U.S, East Asia and India. 
 REA performed well again in the quarter despite some weakness in listing volume. Pricing improved, and services provided to agents were enhanced. 
 Revenues expanded by 16% in local currency, including sales at the recently acquired iProperty. REA is the clear market leader in Australia and has proven the robustness of its business by expanding reach and revenue despite macroeconomic fluctuations in Australia. 
 Move, which operates realtor.com, experienced 9% revenue growth in the first quarter as we revamped the site and retooled its products. With the rollout of Showcase 2.0 in December and deeper penetration from the recently launched seller leads [ph] and turbo products, we are confident revenue momentum will build in coming months.
 We firmly believe realtor.com will make a meaningful contribution to segment revenue and EBITDA growth this year. We are investing for the long term but not at the expense of returns for investors. 
 According to comScore, engagement with realtor.com leads the competition by a significant margin. Since our acquisition of Move, 2 years ago this month, realtor.com's audience has grown more than 60%, and brand awareness of realtor.com is at 87%, which is up more than 25% in the last 18 months.
 In Book Publishing, HarperCollins reported a 14% increase in EBITDA despite a 5% decline in revenue, which was largely the result of the impact of the comparison with last year's sales of Go Set a Watchman, the To Kill a Mockingbird prequel-sequel. The HarperCollins team is increasingly focused on books which resonate beyond the traditional elites as is evident from the popularity of such titles as J. D. Vance's Hillbilly Elegy and Sarah Young's books, including the new Jesus Always, which builds on the success of her Jesus Calling series.
 Also performing well are The Black Widow by Daniel Silva, The Magnolia Story by Joanna and Chip Gaines, and Commonwealth by Ann Patchett. While a consolidation of our international operations in tandem with the Harlequin acquisition has given us a significantly more powerful global platform. We are also able to use our trade assets to market crossover successes from the Harlequin stable of writers, which is increasing both sales and margins for select titles. 
 In coming weeks, we will see the release of the highly anticipated Settle For More by Megyn Kelly. That title Settle For More will be our motto in coming quarters. We also have optimistic expectations for Veronica Roth's next book, Carve The Mark. Veronica wrote the extremely successful Divergent trilogy; and For Chaos by Patricia Cornwall. 
 In news and information across our mastheads, we saw a more challenging print advertising marketplace as has already been articulated by other companies in the sector. While digital advertising increased, that growth was not enough to offset the decline in print. There is no doubt that the advertising market is in upheaval, and that the renewed advertiser focus on view-ability and measurability should naturally benefit trusted brands with accurate metrics. Hype and hip are not alternatives to quality and integrity. 
 In the middle of this commercial commotion, it's appropriate that ad agencies are under scrutiny as too much ad tech is fad tech. 
 Advertising at The Wall Street Journal was down 21%, but our circulation revenue rose 6%, and the number of paid digital subscribers at The Wall Street Journal crossed the 1 million mark in September. The transition at the WSJ was highlighted by the fact that digital accounted for a record 55% of revenues this quarter. Obviously, some of that change is due to the decline in print advertising, but it also reflects the emphasis on broadening the digital subscriber base and the long-term strategy of up selling high-yielding specialist products to those subscribers. 
 Historically, advertising accounted for about half the revenues at Dow Jones, but that ratio is now closer to 1/3. Clearly, there is a renewed emphasis on cost control, including a reduction in headcount at Dow Jones and a redesign of the journal itself. You'll be able to see the results of that redesign in coming weeks, and it will be obvious that print remains a very powerful platform and that the journal has an audience of unique influence and affluence.
 At News Corp Australia, we continued to confront the cost base while broadening our range of digital offerings. We experienced strong digital paid subscriber growth in the first quarter and expanded the number of mastheads with a fremium hybrid model, allowing limited free access along with a paid-for premium subscription. That model builds on the success we have seen at The Australian. 
 Meanwhile, at news.com.au, Australia's leading news website, advertising revenue rose more than 30% in local currency compared to the same period last year. 
 Sport is a vital part of our offering in Australia, which is why we announced the acquisition of the Punters Paradise website in October, offering use, analysis and comparative odds for horse racing and other sports. 
 At the same time, we are keen to dispose of noncore assets to sharpen the focus of our operations. To that end, we sold our stake in New Zealand media and entertainment and hope to complete the sale of CarsGuide and the Sunday Times in Perth by the end of fiscal Q2. 
 At News UK, The Times continues to gain market share and drive higher volume growth, experiencing 13% gain in print circulation in the first quarter in a sector it is too often defined by decline. 
 At The Sun, while advertising revenues have fallen, the digital audience has expanded dramatically since the pay wall was lifted late last year. 
 We are seeking to attract loyal readers with quality content and not digital drive-bys distracted by vacuous contentious click-bait. In September, there were almost 46 million monthly visitors to The Sun compared to 15 million uniques in September 2015 before the lifting of the pay wall. 
 News UK also benefited from cover price increases for its mastheads and from the launch of Sun Bets in August. 
 With the acquisition of Wireless Group, the team at News UK is working on the integration of this valuable asset, leveraging talent across platforms, fashioning new ad packages to take advantage of multimedia opportunities, and cross promoting our brands, including Sun Bets, which should be a powerful generator of future revenue for the company. 
 And speaking of successful popular titles, digital ad revenue for Q1 grew 42% year-over-year at the New York Post, where the broader digital -- post-digital network had a record 65.1 million unique visitors in September, an increase of 109% year-over-year based on internal metrics
 At News America Marketing, in-store price continued to post strong revenue growth driven by the creation of innovative avenues. Point-of-purchase persuasion is a powerful asset that we have in News America Marketing, which also has valuable direct links to advertisers who rely on its unique market intelligence. In the past, digital has been a rather modest part of News America Marketing's offering, but the acquisition of Checkout 51 has changed that outlook dramatically. We had targeted the acquisition of 10 million members this calendar year for Checkout 51 but could top that total this month, if not this week. 
 The larger the audience, the better quality the offerings, the stickier the experience. That virtuous cycle is clearly in motion at Checkout 51, where we've had an influx of new deals from companies such as Procter & Gamble, Mondelez and General Mills. 
 We have just launched a Spanish-language version of the app to appeal to the large and growing Latino audience in the U.S. while we are able to gather rich permission data from users that are of supreme value to advertisers wanting an insight into shopping habits. And we are looking forward to the integration of PayPal into new Checkout 51 expected by December, which will make it even easier for consumers to receive rebates for their purchases. 
 Foxtel posted modest year-over-year growth in cable satellite subscribers, although there was higher churn partially related to promotional no-contract offers last fiscal year. 
 Foxtel remains keenly focused on improving the quality of experience for subscribers and providing more product focus. Hence, the decision to unwind the Presto joint venture with Seven West. 
 The executive team, led by Peter Tonagh, is determined to convey to potential subscribers the clear relative merits of Foxtel Play, whose offering is vastly superior to that of competitors. 
 Foxtel Play's streaming service will roll out next month. We'll present consumers with greater choice and flexible passages -- packages as well as much easier access to Foxtel's premium content, including Fox Sports because viewer numbers have repeatedly set records in recent months. 
 To ensure that subscribers have an unparalleled experience, Foxtel announced this quarter a new agreement with HBO that will give Foxtel even more extensive rights to HBO's library of content through 2021. 
 Despite the focus on product enhancement and infrastructure investment, we are encouraged to see relatively stable EBITDA this quarter. 
 As for Fox Sports, the record ratings were particularly pronounced for NRL while there were also strong performances by Aussie rules football and motor racing. NRL viewership was up 11% for all games, and those exclusive to Fox Sports were up 15%. 
 For AFL, total viewership was up 8%, while the preliminary final between the Giants and the Western Bulldogs, the penultimate match of the year, was the #1 subscription TV program so far in calendar year 2016 in Australia. That increased viewership as well as expanding digital advertising were catalysts for advertising growth of low double digits in local currency in the first quarter, which compares rather favorably to the listless levels elsewhere in the industry. 
 Costs were higher in the first quarter, as was expected, reflecting the timing of sports expenses, about which Bedi will have further details. Thankfully, these quarterly costs are not reflective of the full year exposure.
 Globally, we continued to integrate our Storyful and Unruly acquisitions into our existing brands. News UK now brings Storyful and Unruly into joint pitches with digital advertising. 
 Storyful, which has the unique ability to divine meaningful moments in social media has become a part of the pitch for our Dow Jones risk and compliance business. If the consumer has a problem with the product and uploads a video or a comment, Storyful's unique access to social platforms globally allows it to track the virality of the incident. It also remains the world's leading authenticator of social video for news agencies and broadcasters around the world. 
 In conclusion, News Corp is not just a news company. We are a digital real estate company, and a global and information company. We are proud of our prominence but also leading the way in defining a digital future for media, whether it be through the strength of our mastheads, on mobile or the rapid growth of innovative news and commercial apps. That focus on long-term growth is complemented by a rigorous monitoring of costs in the here and now. 
 We are extremely conscious of our responsibility to shareholders to create products that will prosper while ensuring that we are canny custodians of our traditional businesses in transition. 
 Speaking of canny, I now pass you over to our CFO, Bedi Singh. 
Bedi Singh: Thanks, Robert. We reported fiscal 2017 first quarter total revenues of $1.97 billion, down 2% compared to the prior year. Currency had a $36 million unfavorable impact to revenues, with modest year-over-year improvement in the Australian dollar more than offset by continued weakness in the British pound. Total segment EBITDA was 130 million, including $5 million in transaction-related costs for the Wireless Group acquisition compared to $165 million in the prior year. For the quarter, EPS from continuing operations were negative $0.03 compared to positive $0.22 in the prior year. Adjusted EPS from continuing operations were negative $0.01 versus positive $0.05 in the prior year.
 Before discussing segment performance, as Robert noted, listing-based revenues from our digital real estate businesses are now captured in a new real estate line on our income statement to better highlight that growth. Prior to this change, those revenues were reflected within advertising revenues. We have also adjusted prior year comparatives for this. This real estate revenue line represented 9% of total revenues this quarter and grew 19% compared to the prior year.
 Turning to the individual operating segments. In News and Information Services, revenues for the quarter decreased 5% from the prior year to approximately $1.2 billion. And within segment revenues, advertising, which accounted for just under 50% of revenues, decreased around 11% or down 10% in local currencies, driven by weaker global print ad trends. 
 Circulation and subscription revenues decreased 4%, but were up 1% in local currency, which is relatively stable with last quarter and the prior year, driven by higher paid digital volume and price increases. 
 News and Information Services segment EBITDA this quarter was $46 million, down from $83 million in the prior period. This decrease was driven by lower print advertising revenues combined with $12 million in additional investment spending at Checkout 51, and the $5 million in Wireless Group transaction costs, partially offset by cost savings initiatives.
 Looking at performance across our key units. At Dow Jones, domestic advertising declined 21% versus the prior year quarter, which is greater than last fiscal fourth quarter rate, reflecting a weaker print marketplace, most notably in the finance and technology categories. 
 On a positive note, Wall Street Journal circulation revenues grew over 6% this quarter due to higher subscription pricing and higher digital paid subscribers, with digital-only subs surpassing the 1 million mark during the quarter, as Robert noted.
 At the professional information business, revenues were relatively stable. 
 And as Robert mentioned, Dow Jones announced a series of initiatives focused on modernizing the newsroom and rationalizing print circulation and pagination while shifting resources to digital. 
 As part of the plan, we are targeting approximately 8% or $100 million reduction of the cost structure on an annualized basis by the end of fiscal '18. The restructuring program will begin implementation in Q2 this year and is expected to continue into Q3, with an anticipated restructuring charge of between $50 million to $60 million pretax during fiscal 2017 and benefits starting to phase in over the remainder of the fiscal year.
 We believe this timely response to the secular print advertising declines will leave the business well positioned to maximize the digital growth opportunity.
 At News Australia, advertising revenues for the quarter declined 7%, or approximately 11% in local currency, relatively similar to the last fiscal fourth quarter.
 Circulation revenues at News Australia increased modestly for both reported and on a local currency basis and as a result of cover price increases and higher paid digital subs, offsetting print volume declines.
 While we continue to benefit from the cost-reduction program that News Australia announced in the second half of fiscal 2016, which totaled around 5% of the cost base, we are now embarking on further cost initiatives. We expect an additional AUD 40 million in cost savings this fiscal year while we continue to push digital initiatives more broadly.
 At News UK, whilst reported advertising revenues decreased 28%, ad revenues were down mid-teens in local currency, primarily due to print declines.
 Circulation revenues at News UK declined mid-teens versus the prior quarter, but were relatively flat in local currency as cover price increases of both The Sun and The Times were offset by single-copy volume declines.
 News UK also benefited this quarter from previously announced cost savings initiatives as well as lower production cost and remains focused on identifying further cost reductions.
 At News America Marketing, the business overall performed well, with revenues relatively flat versus the prior year, driven by mid-teens growth in domestic in-store revenues. 
 Domestic FSI revenue was down mid-teens due to lower volume. And at Checkout 51, we achieved over 9 million members, adding approximately 3 million this quarter and well on pace to achieve 10 million by the end of this calendar year, which, as Robert mentioned, is a key initiative for accelerating the digital transition of News America Marketing.
 Turning to the Book Publishing segment. Revenues decreased 5%, but segment EBITDA improved 14% versus the prior year, which included the release of Go Set a Watchman that had accounted for $32 million in revenues in the prior year quarter. 
 EBITDA margins improved 12.3% from 10.3% in the prior year, driven by the mix of titles, and this quarter benefited from a strong new release slate, including Black Widow by Daniel Silva, Hillbilly Elegy by J.D. Vance and Sarah Young's Jesus Always. 
 Total digital revenues were approximately 20% of consumer revenues similar to the prior year.
 In Digital Real Estate Services, total segment revenues increased $35 million or 18% to $226 million. 
 Segment EBITDA was $67 million, up from $57 million in the prior year. 
 REA's revenues grew 22% or approximately 16% in local currency due to an increase in Australian residential depth revenue, benefiting from favorable product mix, combined with modest revenue contributions from iProperty. Results were partially offset by softer listing volumes in Australia, declining approximately 8% versus the prior year. 
 REA reported their fiscal first quarter earnings today and just concluded their conference call, which provided more quality detail.
 Move revenues rose 9% to $93 million versus the prior year, reflecting continued strong performance from Co-Broke after more than doubling in Q1 fiscal '16 as well as growth in software services revenue, albeit at a slower rate.
 The Move team is focused on the next-generation showcase product, which we expect to roll out later this quarter and further penetration of recently launched new products, including turbo and seller leads [ph] . We, therefore, expect revenue growth to accelerate in the second half of the year and are on track to deliver increasing positive contributions to segment EBITDA this fiscal year. 
 Average monthly unique user growth at realtor.com remains strong, up 15% year-over-year to $53 million in the quarter.
 In Cable Network Programming, revenues increased by 3% compared to the prior year quarter, primarily due to advertising growing mid-teens, benefiting from higher ratings across the board as well as higher contributions from digital advertising.
 Segment EBITDA in the quarter was $14 million, which was $14 million lower than the prior year quarter due to, as expected, costs related to the simulcast of additional NRL matches from Channel 9 and the airing of the Sri Lanka-Australia cricket tour, partially offset by the absence of the EPL rights costs.
 We do expect EBITDA to improve in Q2 due to the absence of costs from the English Premier League and Rugby World Cup, which we had in the prior year.
 With respect to earnings from affiliates, Foxtel ended the quarter with approximately 2.9 million total subscribers, with closing cable and satellite subscribers increasing approximately 1% compared to the prior year period.
 Last month, Foxtel announced that it had bought out Seven West media shares in the Presto joint venture, and the Presto service will be subsequently closed, and Foxtel will shift its IP efforts to Foxtel Play. 
 Existing Presto customers will be invited to move to the new Foxtel Play, and Presto will cease operations on January 31, 2017. 
 Foxtel recorded a $21 million loss as a result of the decision to cease Presto operations, and our equity income was $11 million lower, principally, as a result of this.
 Foxtel revenues for the quarter increased 5% and were up 1% in local currency, and EBITDA increased 2% but was down 2% in local currency due to higher programming costs and marketing. 
 Churn, as expected, remained above prior year at 15.5% as we cycled through some historical no-contract offers. Importantly, underlying year-on-year churn data, when adjusting for the impact of new customer offers, has been more stable. 
 ARPU for the quarter was down approximately 3% or around AUD 88.  
 Capital expenditures from continuing operations for the quarter were $49 million lower than $63 million in the prior year. 
 And turning to the balance sheet, net cash at September 30 was $1.1 billion, including $377 million of debt related to iProperty. 
 Cash on the balance sheet is down from fourth quarter 2016, principally reflecting the payout of the News America Marketing settlement of around $250 million. 
 So in summary, while the quarter faced some obvious challenges, as we have noted, we expect to see improvements for the remainder of the year versus the prior year. 
 A few points to highlight. Whilst print advertising trends remained very volatile and visibility continues to be limited, we have stepped up our cost savings initiatives, particularly at Dow Jones, and expect improved EBITDA performance in the current quarter and the balance of the year. We will also be including the contribution from Wireless Group within the News and Information Services segment from 1st of October.
 Book Publishing should see favorable comparisons, and we look forward to the release of Settle for More by Megyn Kelly, Chaos by Patricia Cornwell and the Magnolia Story by Chip and Joanna Gaines as well as carryover sales from Jesus Always by Sarah Young, which debuted last quarter. 
 We have a strong roster of titles this year and expect to see a return to growth in digital, which bodes well for the year ahead.
 Fox Sports Australia, as I mentioned, should benefit from lower rights costs in the second quarter and should see an improvement in EBITDA versus the prior year. 
 For the full year, costs should be down modestly in local currency, with no major rights renewals impacting this fiscal year.
 For digital real estate, we expect continued revenue and EBITDA growth for the segment. 
 While listings volumes in Australia for the second quarter remained lower than the prior year, we expect continued growth, benefiting from favorable pricing and increased penetration. 
 Realtor is expected to roll out Showcase 2.0 later this quarter, and a revenue lift is expected is to be more second half weighted, reflecting the timing of contract renewals.  And we expect to see strong improvement in EBITDA contribution from realtor this year.
 And with that, let me hand it over to the operator for Q&A. 
Operator: [Operator Instructions] At this time, we will take our first question. This will be from Entcho Raykovski with Deutsche Bank. 
Entcho Raykovski: My question's around News and Information Services, and you've obviously spoken about digital advertising revenues offsetting some of the print declines. Can you give us an idea of some of the quantum of growth within digital ad revenues? And also, any breakdown you could give us by jurisdiction as well -- what sort of trends you've seen within digital ad revenue growth would be appreciated. 
Robert Thomson: Entcho, thanks very much for the question. As for the future itself, unfortunately, I don't have sibylline powers so it's difficult to divine. At Dow Jones, we are seeing some improvement in October, but beyond that, I don't have the confidence to give you a forecast. Just more broadly, before we get into the granular details, what we are seeing at the moment is some mayhem in the ad market. Advertisers are having ads placed on sites that seem almost to have contempt for, for profit companies. Or they have their products bobbing around in bilge water. And that ad apostasy simply can't continue ad infinitum. So at heart, we're very confident about our quality content, our quality audiences and the quality canvass we have for advertisers. At News Australia, we saw advertising down about 11%, excluding FX in the quarter. News UK, advertising, in total was down mid-teens. Print was down high teens; digital, up low teens. And at Dow Jones, advertising was down 21%. But we have experienced double-digit growth for digital at News UK and Australia. We're emphasizing the quality of our data -- and the quality of permission data, that is, and our audiences. And we're building out more segmented products for advertisers so that we will be able to target those quality audiences in a meaningful way. And I think what we're talking about is a longer-term strategy, but one that should have results in the short term. 
Operator: We'll move along to Craig Huber with Huber Research Partners. 
Craig Huber: A question on the Wall Street Journal. Just what are your thoughts on why the declines have accelerated negative 21% at the print Wall Street Journal this last quarter? And what's your outlook there for the upcoming quarter? 
Robert Thomson: I think there is a broader issue about advertising, generally. There is definitely mayhem in the market. I mean, some advertising is driven more by trend than by substance. And when you have that amount of volatility in the broader market, you are going to have, for certain mastheads in certain quarters, a fair amount the volatility. And that was certainly the case at the Journal. Tech advertising was down to a certain degree; finance also. On the other hand in -- for the WSJ magazine, we had a record issue in September. So it's not as though advertisers have abandoned print as a sector, and print is a very powerful platform, it is that there is a lot of content out there. Frankly, a significant amount of that content is less meritorious and more meretricious. 
Bedi Singh: The only thing I would add, Craig, is that -- advertising pretty much week-by-week. And what we are seeing, though, is that when we look at October, there is some tempering of this rate of decline that we saw in the first quarter. And whether that continues for the rest of the quarter, it's difficult to say. But certainly, in The Wall Street Journal and at News Australia and at News UK, we're seeing some tempering of the declines. So I think visibility is limited, but at least we're seeing things improve a little bit. 
Operator: We'll now move to Brian Han with Morningstar. 
Brian Han: I really had just one question. You've had a $500 million buyback program in place for a while now, and yet, you've only bought back a fraction of that to-date. Just wondering how the board thinks about all this, especially during times when your stock price is depressed. 
Robert Thomson: Well, we do have a $500 million provision. We have bought back a modest amount of stock. But clearly, when we think in terms of capital allocation, it's a broad-based strategy, which includes internal investment and it certainly includes returns to investors. And we have also a modest dividend in place. And -- but it has to be based on an understanding of the long-term value of the company, and that is what guides all of our decisions and the board's decisions about the buying back of stock. Thus far, we've bought back $71 million, and -- but will be -- any further moves will be in that context of that broader strategy. 
Operator: [Operator Instructions] We'll move to Peter Stamoulis with Evans & Partners. 
Peter Stamoulis: I was hoping you could provide some color around free cash flow operations for the business. Obviously, down $300 million for the quarter, and what the expectations are going forward. And I suppose, can we track EBITDA? And what can we expect around conversion of free cash flow? 
Bedi Singh: So free cash flow was -- obviously, we reported negative for this quarter. As I mentioned, it's mainly driven by the fact that we had a payment to make for settling the News America Marketing litigation, which was $250 million. We'd accrued for that last year, and now, we paid it out this quarter. We also had slightly higher working capital this quarter. Some of it was due to the acquisitions around iProperty. And obviously, we had lower EBITDA. So all of those factors contributed to that. You shouldn't take the first quarter as being indicative for the rest of the year. We're very focused on generating healthy positive free cash flow, and I would say, mainly, it's all timing things this quarter. So without giving a specific number, though, I think we are striving to make sure that we are very healthy for the remainder of the year. 
Operator: [Operator Instructions] We'll take a follow-up question from Craig Huber with Huber Research Partners. 
Craig Huber: I'd be curious to hear what the margins were like at move.com versus a year ago, the profits there. 
Bedi Singh: So we don't give out specific margin information, as you know, Craig. We had started giving out, obviously, revenue information based on your last request. I would say that margins are growing. And if you exclude stock-based compensation, EBITDA was higher than we've had before, and it's on its ramping -- it's ramping up, is what I would say. And so we're not giving the specific number, but we're on track to be very meaningfully profitable for next quarter onwards. 
Operator: We have a follow-up question from Brian Han with Morningstar. 
Brian Han: Just one more. In your other division, I appreciate, Robert, that you want to continue to canvas new businesses to invest in, but the $180 million of costs in the other divisions still seems quite substantial. Do you think there's any room to reduce that cost base? 
Bedi Singh: We're continually striving to reduce the -- as you call the other, which is principally sort of corporate and overhead costs, and it's come down a lot since we started showing our results 2, 3 years ago. So we've been constantly bringing that down, and I think you'll expect to see some improvement on that as we go forward. And UK newspaper matters, which are included in that, are obviously coming down as we've reported. 
Operator: We'll take a follow-up from Entcho Raykovski of Deutsche Bank. 
Entcho Raykovski: Just a follow-up for me around the new agreement with HBO, which you mentioned that Foxtel has entered into. Could you give us any more indication of the terms of that agreement and the sort of uplift in costs, which it resulted in, and -- I mean, if it was significant. I appreciate you might not give us the exact numbers, but how significant that uplift may have been. 
Robert Thomson: Entcho, your instinct is correct that we're not going to give you the exact numbers. But look, I think the keyword at Foxtel is focus. The rights, you're talking about, are exclusive to subscription TV. As you know, we have taken the decision to close down Presto. Frankly, we saw that was a distraction from the core brand and core proposition, which has, by far, the best suite of programs in Australia as I'm sure you well know from your personal experience. 
Operator: We have one more question in the queue. This will be from Eric Katz with Wells Fargo. 
Eric Katz: So you mentioned, looking through the balance of the year, several segments talking about improvements, particularly in EBITDA. I was wondering if you can give a little bit more color on that because it sounds, overall, that you expect improvements, but I don't know if that means for instance, in news, EBITDA would be higher or growth rates would be better. Any particular quarter in the back half of the year that you point out in any particular segment? 
Robert Thomson: Certainly. Look, I'll start, and then Bedi, will no doubt complement my comments. But in digital real estate, as Bedi has indicated, we expect momentum as the year unfolds, with new products and new pricing. And it will be strongly EBITDA positive. That is certainly a growing business. At HarperCollins, you need only to look at the best seller list at the moment to get a sense of the impact of our titles. And we are very pleased with the focus on books that -- like the Magnolia Story, like Sully, and no doubt, like Megyn Kelly's Settle For More. They will have broad impact in society and a positive impact on our accounts. And we think FOXNews, as we get into the spring selling season in Australia for sports, given the record audiences of last year and the buzz around both Rugby League in Aussie Rules next year that, that will be efficacious also. 
Michael Florin: Well, thank you all for participating. Have a great day, and we'll talk to you soon. 
Operator: Once again, this does conclude today's conference call. Thank you all for your participation.